Operator: Good day, and welcome to the Capital Senior Living First quarter 2016 Earnings Release Conference Call. Today's conference is being recorded. The forward-looking statements in this release are subject to certain risks and uncertainties that could cause results to differ materially, including, but not without limitation to, the Company's ability to find suitable acquisition properties at favorable terms, financing, licensing, business conditions, risks of downturns in economic conditions generally, satisfaction of closing conditions such as those pertaining to licensure, availability of insurance at commercially reasonable rates, and changes in accounting principles and interpretations among others, and other risks and factors identified from time to time in our reports filed with the Securities and Exchange Commission Now at this time, I'd like to turn the conference over to Mr. Larry Cohen. Please go ahead, sir.
Larry Cohen: Thank you. Good afternoon and welcome to Capital Senior Living's first quarter 2016 earnings release conference call. I want to thank our strong team of employees at Capital Senior Living Communities across the country, for providing our residents with exceptional service and care. I am extremely proud of the team's hard work and dedication. It is our talented employees that give us such great confidence in the future of our company and the continued quality care we provide our residents, and the long term value we are creating for all of our stockholders and other stakeholders. Our strong first quarter 2016 results demonstrates the advantages of our clear and differentiated strategy to driver superior shareholder value, as we successfully execute on our multiple avenues of growth. Our focused execution of our strategic plan produced solid growth in all of our key metrics in the first quarter, as compared to the prior year, including revenue, occupancy, average monthly rent, NOI, adjusted EBITDAR and adjusted CFFO. Our occupancy gains continue to outpace the industry, with same community occupancy increasing 110 basis points since the first quarter of 2015. As expected, sequential occupancy decreased in the first quarter, due to the lag effect of decreasing occupancy in the fourth quarter of 2015. With a mild flu season and better weather during the first quarter 2016, we gained 75 same community net move-ins for the period beginning with the week ended January 1 to April 1, 2016. This is a 115 unit improvement in same community occupancy compared to the comparable period in the prior year. Our strong occupancy growth is resulting in pricing power, with an approximately 3.5% increase in same community revenue on a like number of units basis, as compared to the first quarter of the prior year, reflecting the price increases we implemented this past fall, and again, in January of this year. And our disciplined expense management programs, limited same community expense growth to 1.4%, increasing same community net operating income by an exceptional 5.8% on a like number of unit basis for the first quarter of 2015. Our better than expected first quarter results enhances our outlook for the rest of 2016. Our conversions of independent living units to assisted living and memory care units also continue to show timing progress. Our strong first quarter results reflect the successful implementation of various initiatives that increase shareholder value, both in the near term and in the long term, including occasional introductory specials at lower occupied communities, increasing rates at higher occupancy communities, increasing level of care charges and disciplined proactive expense management. We are also benefitting from a cash flow and value enhancing renovations, refurbishments and conversions of units to higher levels of care that are in process and more than 60% of our communities. They are resulting in exceptional increases in occupancy and revenues. These renovations, refurbishments and conversions are scheduled to the first half of 2017 and should lead to further improvements in our operating and financial results. And the transformation of our sales and marketing strategies is also yielding positive results. As we have discussed on previous calls, senior housing construction remains concentrated in select markets, and our superior results demonstrate that competitive new supply remains limited in our local markets, due to low investment returns. With our average monthly rate of $3,443 and average construction costs of approximately $200,000 per unit, the return on investment on the newly built community at 90% occupancy, would be about 5.5%. This low return on costs is an economic barrier, that limits competitive new supply in most of our local markets. In fact, the only market that I am aware of, with meaningful competitive new supply is in the McKinney-Plano-Allen-Frisco submarket in North Dallas which represents less than 2% of our portfolio and on which we compete very well. As someone who personally survived the older building that the senior living industry faced in the late 1990s, I can state with confidence, that we are not concerned about supply derailing Capital Senior Living's bright growth trajectory. With strong industry fundamentals and improving economy in-housing markets, limited competitive new supply in our local markets, and the gains we are recognizing from out unit conversions, community renovations and refurbishments, we believe that our occupancies can grow to an optimal level at 92% to 93%, delivering significant organically driven CFFO growth, and increases in the long term value we are creating in our owned real estate and for our shareholders. Every 1% improvement in occupancy is expected to generate $4 million of revenue, $2.8 million of EBITDAR and $0.06 per share of CFFO. Another compelling strategy to drive superior shareholder value is our accretive acquisitions. In the first quarter of 2016, we completed the acquisition of five senior living communities for a combined purchase price of approximately $64.4 million. These acquisitions expend our operations in Wisconsin and Florida, and are expected to generate an incremental annual CFFO of approximately $0.10 per share. Acquisitions of three additional communities, totaling approximately $74 million are expected to close during the second quarter of 2016, subject to completion of due diligence and customary closing conditions, which will bring our total acquisitions in the first half of 2016 to approximately $138.4 million, and we have a strong pipeline of near to medium term targets. In the first quarter, we signed confidentiality agreements covering 41 properties with an estimated value of $780 million. We will be very selective in determining which of those we would like to own. Our disciplined and strategic acquisition program is self-funded from internally generated cash. In nearly five years, we purchased 57 communities, for a combined price of approximately $803 million and prudently financed them with long term, fixed rate, non-recourse mortgages, with a 2.7 interest expense coverage ratio. These acquisitions have generated better than a 16% cash-on-cash return on equity and first year CFFO of $1.23 per share. Our success in hiring high performing communities in off market non-broker transactions had attractive terms, validates our differentiated competitive advantage at the highly regarded incredible owner-operator with a financial ability to complete transactions. As our cash flow grows and our liquidity improves, our robust pipeline allows us to continue our discipline and strategic acquisition program, that increases our ownership of high quality senior living communities in geographically concentrated regions, and generates additional significant increases in EBITDAR, CFFO, real estate value and shareholder value. As the capital markets have tightened and become more volatile to healthcare REITs and other public companies are reducing their allocation of capital to senior living acquisitions. Capital Senior Living is in an excellent position to benefit from this dislocation in the market, as our differentiated investment strategy, allows us to fund our growth from internal sources without raising equity or accessing the capital markets. And for our shareholders, we offer a more cost efficient investment vehicle, with our first quarter G&A of only 4.9% of revenues compared to a REIT that is paying a management fee of 5% of revenues, in addition to its own G&A averaging 3.8% of revenues. We have been proactive in enhancing the quality of our portfolio, increasing our substantially low private pay revenues, and improving our balance sheet. We closed the only skilled nursing beds we had operated in two continuing care retirement communities till our patients [ph] are being repositioned. We solidified older non-strategic communities and recycled approximately $26 million of cash into accretive acquisitions of newer, high performing communities within our geographically concentrated regions. These sales also eliminated our operations in three states, which have allowed us to sharpen our strategic focus and strengthen our operations in our geographically concentrated regions. These actions have improved our key operating metrics, including our best-in-class EBITDAR margin. We also continue to take advantage of the appreciation in the real estate value of our wholly-owned communities, through attractive non-recourse fixed rate long term refinancings and supplemental financing at historically low interest rates, which have extended our mortgage maturities and increased our cash balances. We have a very clear and differentiated strategy and benefit from larger company competitive advantages in a highly fragmented industry. Approximately 70% of the senior living operators in the United States are mom and pops. Most senior living operators are not well capitalized, as they serve as a fee manager for a third party owner, though as a tenant under our triple net lease, with minimal coverage and escalating lease payments. In contrast, Capital Senior Living wholly owns more than 60% of our communities, which is the highest percentage of wholly owned communities among the nation's top senior living operators. Our differentiated investment strategy of owning our communities creates significant real estate value and generate sustainable cash flow, which we are investing in people, training, technology, systems, renovations, refurbishments, conversions of units to higher levels of care and accretive acquisitions, while maintaining prudent reserves. Our commitment to our most valuable resource, our people, limits turnover and strengthens resident satisfaction and length of stay. In our dominant competitive position, in a highly fragmented local markets, is a catalyst for further aggregation of smaller operators with limited resources, as well as an effective deterrent to possible new competitors. Capital Senior Living is transformed and improving. Our track record is prudent. We are attractively positioned to drive superior shareholder value, as a larger company would scale competitive advantages and a substantially low private pay business model in a highly fragmented industry that benefits from long term demographics, knee-driven demand, limited competitive supply in our local markets, a strong housing market, and a growing economy. It's my pleasure to now introduce Carey Hendrickson, our Chief Financial Officer, to review the company's financial results for the first quarter of 2016.
Carey Hendrickson: Thank you, Larry, and good afternoon everyone. Hopefully you have had a chance to review today's press release. If not, it's available on our web site, at www.capitalsenior.com. You can also sign-up on our web site to receive future press releases by email, if you'd like to do so. The company reported total consolidated revenue of $109.2 million for the first quarter of 2016. This is an increase of $10.5 million or 10.7% over the first quarter of 2015. The increase in revenue was largely due to acquisitions the company made during or after the first quarter of 2015, net of dispositions. During that time, we have acquired 14 communities, including five communities that we purchased during the first quarter of 2016, and have disposed off five non-strategic communities. Excluding the revenue of the five communities we have sold during or since the first quarter of 2015 from all appropriate periods, revenues increased $12 million or 12.3% in the first quarter of 2016, as compared to the first quarter of the prior year. Revenue for consolidated communities, excluding the three communities that are undergoing repositioning lease-up or significant renovation and conversion, increased 10.7% in the first quarter of 2016, as compared to the first quarter of 2015. It's important to note, that this 10.7% increase was achieved due to fewer units available for lease in the first quarter of 2016 than the first quarter of 2015, exclusive of acquisitions, due to conversion of renovation projects that are currently in progress at certain communities. Our net operating income for these communities increased 11.7% in the first quarter of 2016 as compared to the first quarter of 2015. These results clearly illustrate the effectiveness of our strategy to acquire high performing communities in strong markets, disposed of non-strategic underperforming communities and to convert units at our existing communities to higher levels of care, while continuing to proactively manage our expenses. Our operating expenses increased $5.7 million in the first quarter of 2016 to $62.3 million, due primarily to the acquisitions. Our general and administrative expenses for the first quarter of 2016 were $800,000 higher than the first quarter of 2015, after excluding transaction and other one-time costs for both years, and that was due mostly to a $700,000 increase in medical claims expense. Medical claims were higher than usual in January and February, but returned to a more normal level in March, and you will remember that our medical claims expense in the fourth quarter of 2015 were lighter than usual. Excluding transaction and other one-time costs, G&A expenses as a percentage of revenue under management were 4.9% in the first quarter of 2016. As we noted in the release, the company's non-GAAP and statistical measures exclude three communities that are undergoing repositioning, lease-up of higher licensed units or significant renovation and conversion. Adjusted EBITDAR was $37.3 million in the first quarter of 2016, an increase of $2.3 million or 9.3% from the first quarter of 2015. This does not include EBITDAR of another $800,000 that's related to the three communities that are undergoing repositioning, lease-up or significant renovation conversion. The company's adjusted EBITDA margin in the first quarter of 2016 was 35.6%. Our adjusted CFFO was $11.7 million in the first quarter of 2016, which was an increase of 11% from $10.5 million in the first quarter of 2015. On a per share basis, CFFO was $0.41 compared to $0.37 in the first quarter of 2015. The contribution to CFFO from communities acquired during or since the first quarter of last year was $0.08, which is $0.01 ahead of our expectations and public announcements related to these communities. On a same community basis, our revenue increased $2.2 million or 2.3% over the first quarter of the prior year. However, as noted previously, due to conversion and refurbishment projects currently in progress at certain communities, there were fewer units available for lease in the first quarter of this year, than the first quarter of last year, 120 less units on a same store basis. With a like number of units available in both years, same community revenue would have increased approximately 3.5% versus the first quarter of the prior year. Our same community expenses increased only 1.4% in the first quarter of 2016 versus the first quarter of last year. Labor costs including benefits, increased 2.8%. You will remember, the first quarter of 2016 had an extra day as compared to the first quarter of 2015 due to the leap day in February, so adjusting for that extra day of labor costs, our labor costs increased approximately 2.2%. Food costs increased 0.9% and our utilities costs decreased 9%, due to milder weather in the first quarter of 2016 versus the first quarter of 2015. Our same community net operating income increased 3.7% in the first quarter of 2016, as compared to the first quarter of 2015. However, with a light number of units available in both years, same community net operating income would have increased approximately 5.8% in the first quarter of last year. Same community occupancy was 88.5% in the first quarter of 2016, which was an increase of 110 basis points versus the first quarter of last year. Our same community average monthly rent was up 2.3% versus the first quarter of 2015. For our consolidated communities, average monthly rent was up 4.6% and our consolidated occupancy increased 130 basis points versus the first quarter of 2015. The improvement in our consolidated metrics versus the first quarter of last year, reflects our sale of the five non-strategic communities in 2016, and our accretive acquisitions at the high occupancy communities with higher rents. We also continue to make steady progress on the conversion of independent living units with higher levels of care. Based on our first quarter 2016 results, the annualized impact to the first phase of 400 units converted to a higher level of care that were completed by midyear 2015 is currently approximately $0.08 per share of CFFO, with the contribution expected to grow through the year. Further, the impact of this first phase of 400 conversion of occupancy, revenue and NOI is outstanding, and very much in line with our initial expectations. On a combined basis, occupancy of these communities has grown from 82.4% prior to conversion to 89.5% at March 31, 2016. Revenue at these communities increased 13% in the first quarter of 2016 as compared to the first quarter of 2015, while net operating income at these communities increased 17.2%. We completed another 100 conversions by the end of 2015, and we are now in the process of leasing those units up. We are also making steady progress on an additional 200 conversions that we expect to complete by the end of 2016, with a majority of those expected to be completed in the second half of the year, and additional conversions at other properties are under consideration. Looking briefly at the balance sheet; we ended the quarter with $45 million of cash and cash equivalents, including restricted cash, which was a decrease of $24.2 million since December 31 of 2015. We invested $18.1 million of cash as equity to complete the acquisitions of five communities and we spent $13.8 million on capital improvements during the first quarter. $13.8 million of capital expenditures includes $2.3 million related to lease incentives for certain tenant leasehold improvements for which we expect to receive improvement from our lessors. We received reimbursements of approximately $900,000 in the first quarter and expect to continue to receive reimbursements as these projects are completed. Our mortgage debt balance at December 31, 2016 was $818.3 million at a weighted average interest rate of approximately 4.6%. We added approximately $46.3 million of debt in the first quarter related to the five communities that we acquired. At March 31, all of our debt was a fixed rate, except for one bridge loan that totaled $11.8 million. The average duration of our debt is greater than eight years, and 98% of our debt matures in 2021 and after. Looking at our expectations for the second quarter; we expect strong sequential growth in the first quarter and the second quarter, in our various metrics including CFFO. We expect the communities that we acquired in the first quarter, to contribute an additional $0.01 to our second quarter CFFO; and even though utilities were considerably lower than usual in the first quarter, we still expect to pick up about $0.01 in CFFO from lower utilities in the second quarter, which is generally the mildest quarter of weather in the year. We also expect our second quarter G&A expenses to be approximately $300,000 less in the first quarter, adding another $0.01 to CFFO, mostly due to more moderate medical claims expense. And finally, we currently expect our core operations to add $0.02 to $0.03 in the second quarter as compared to the first quarter, mostly associated with expected increases in occupancy and REIT and additional contributions from our conversions. Normally in the second quarter, we would have a $500,000 increase in expenses associated with an additional day of operations. But that's not the case this year, due to the leap day that we had in the first quarter, and also, just as a note, we expect to close on the $74 million in acquisitions, on which we are currently completing our due diligence late in the second quarter, or perhaps even early in the third quarter. So we expect the benefit from those acquisitions to begin in the third quarter. That concludes our formal remarks, and we would now like to open the call for questions.
Operator: [Operator Instructions]. And our first question will come from Chad Vanacore with Stifel.
Chad Vanacore: Hey, good evening.
Larry Cohen: Hey Chad. How are you?
Chad Vanacore: Good. So just speaking about the new acquisitions, can you give us a little more color and accretion on those acquisitions, maybe average monthly rent and asset mix versus your current portfolio mix?
Larry Cohen: The acquisitions that we made in the quarter are predominantly assisted living and memory care. Their average rents, $38.50, which is a little higher than our average. Obviously they have good occupancy -- although, as we say, the occupancy, but typically, these properties are coming in around 90% occupied, with margins in the high 30% range, which is a little lower than our average margin, which is closer to 41%. That's before corporate overhead, Chad.
Chad Vanacore: Okay. And then what do you think the CFFO contribution is annually?
Larry Cohen: $2.9 million or $0.10 per share, that's in the press release.
Chad Vanacore: I was talking about the 2Q acquisition?
Larry Cohen: 2Q? $74 million we had not -- we typically don't say that. But again, I would say that we have been so consistent on our acquisitions, you could probably assume that, the $74 million would be a little higher than the $0.10 that we are getting from the 64, so you can probably extrapolate from that. Another $10 million of acquisitions would be another, call it 15%. So it's probably $0.11, $0.12 per share of CFFO.
Carey Hendrickson: We will give full details on that.
Larry Cohen: The other thing I would mention, Chad; on the acquisitions. You see that the acquisitions in the first quarter, the average fixed rate was 4.4% on 10-year debt. We continue to expand our lender base, and life companies have really become very desirous to do business with us. We will report on these acquisitions, our first 15 year term fixed rate non-recourse debt in the low 4% range. That's where I have been fixed. That's already agreed-to term with the lender. So we are very excited that our financing continues to improve, with more competition, with lower rates and longer terms.
Chad Vanacore: And you have been doing fixed debt somewhere around 4.5 for 10 years, is that right?
Larry Cohen: In the first quarter, it came in at about 4.4. Right now, 10-year debt would be around 4% to 4.25%, somewhere in that range. 10-year has come down to about the 180 level. But then, our spreads have narrowed, because of the competition with all lenders.
Chad Vanacore: All right. Sounds good. And then just, thinking about your pipeline Larry; I believe last quarter, you felt that transactions were slowing down. It seems that you are seeing actually a greater deal slow down? Can you talk about that, and maybe how cap rates change, if they have?
Larry Cohen: Deal flow has been very-very strong. I am not aware of any portfolio transactions for this industry, for a couple of quarters that the larger transactions have slowed down. Again, we have been focused on the onesies, twosies, we prefer that. If you look at kind of what we are seeing, we are seeing more transactions that are being marketed. I will tell you that, in the first quarter, I mentioned, the number of properties that we have signed confidentiality agreements for, those are 18 transactions. About 25% are off-market, about the balance are marketed transactions. We have lost offers. I mean, the market has not changed much on cap rates. We are buying higher quality properties, so our price per unit maybe increasing, because we are buying in larger markets and typically newer, higher quality properties. We are still generating about a 16% cash-on-cash return on the equity. The competition that we are seeing is typically not the larger REITs, just not looking at senior housing. There is some private equity out there that's buying us some properties. But you know, we have -- and our pipeline, we have a lot of repeat sellers, who we have successfully transacted. We have had three properties purchased recently from one sellers; they have come to us with another property. We'd have three or four properties from another seller we dealt with. So, we are fortunate that we have a good repertoire, if you will, product that continues to come through from sellers that have enjoyed the experience with Capital Senior Living. More importantly, they are really impressed with the quality of our management and the tenure of our staff, that we feel very comfortable in trusting their regimens with our management.
Chad Vanacore: All right. Then just one more; just looking at labor costs; it looks like, on a same store basis, labor costs were only up 2.8%, that seems to be right down the pipes for what would be 2.5%, 3% average historical labor inflation. Should we expect that to creep up during the year?
Larry Cohen: Chad, I really think we are going to probably stay in that 2% to 2.5% range. As you said, it was 2.8%, but if you take out the extra day, its 2.2% in the first quarter. And over the last several quarters, the fourth quarter was 4%, but that was related to some items specific to the fourth quarter that we talked about, a credit and workers comp that was in the fourth quarter the previous year, greater number of people added to our healthcare plan. And then, an increase in cost to cover shifts over Christmas holidays. But before that, our labor costs were up 0.8% in the third quarter of 2015 and 0.6% in the second quarter of 2015, 1.4% in the first quarter of 2015. So there have been very moderate increases, and again this quarter, its 2.2%. So I think, we feel comfortable that we can keep those labor costs between right around that 2.5% mark this year.
Chad Vanacore: All right. Thanks Larry. I will hop back in the queue.
Larry Cohen: Thank you, Chad.
Operator: And our next question will come from Joanna Gajuk from Bank of America Merrill Lynch.
Joanna Gajuk: Good afternoon. Hi, how are you? Thanks so much for taking the question here. First on the quarter, which I guess, CFFO, $0.41, it came above, I guess, what you were kind of guiding to. So can you walk us through the main sort of drivers for the results coming in better than expected? Whether this was occupancy or pricing or costs or anything else, how you can see that quarter versus your expectations?
Carey Hendrickson: Really, it was pretty well balanced. It was -- we had greater revenue than we expected. Our rate was very good, and occupancy was right about where we expected it to be. Expenses were les. We did have the really good utilities costs that came out in the first quarter. But the $0.41 is even with our G&A costs being up, taking about $0.02 of our G&A away. So it would have been even higher, had we had kind of normalized medical costs, but that did bump up our G&A. But it's pretty well evenly split between revenue and expense. From what we expected going into the quarter to where we ended.
Joanna Gajuk: All right. So sounds like [indiscernible] on the expense side; because also when you talk about sort of the elements for the next quarter; so that kind of suggests like a 12% sequential increase in [indiscernible] $0.05 to $0.06, is that the right math?
Carey Hendrickson: Yeah. Something like that what we expect currently. Yeah, that's what we expect currently going in the second quarter.
Joanna Gajuk: So would you paraphrase it as similar to what you just mentioned with the Q1 performance, in terms of sort of -- you having traction on controlling costs, while your occupancy and pricing growing nicely, till you have this [indiscernible] on the current driving on the results?
Carey Hendrickson: Yes I do. I think occupancy is going to -- we are well positioned for occupancy growth in the second quarter, and that our rates are also well positioned. I think we are going to be in good shape on the revenue side and then expenses. Our operating team does a great job of managing those costs, and very disciplined. I think it will -- both of those things are going to contribute to the growth.
Larry Cohen: Yeah I will just comment, Joanna, that -- we just, we have in town for three days, all of our regional operations and marketing staff. Carey and I spoke with them this afternoon. Most of them have been with our company for quite a while. And I would tell you, we had lunch with dinner -- everyone was very positive. I will tell you, our deposit taking is outstanding. We spoke about a gain, of basically 75 units in the quarter from 11 to 41. We have grown since then. Our trends look very good. Obviously, you never know with the attrition [ph], there can be a week here or there. The lag in the sequential occupancy actually was interesting, really resulted from a larger number of debts. The first week of November 2015, that kind of transferred over. But as I said at the fourth quarter call, we had outstanding last week of 2015. We are really excited about where we are thus far in the year, and having a weaker flu season and mild winter, really positions us extremely well for the rest of the year, because we are starting the second quarter at a much higher level, than we saw in 2015, or in 2013. But enthusiasm is pretty widespread. The things we speak about, that differentiate at Capital Senior Living, are coming through very clearly in our results. And that's because of the quality of our talented staff, that serve our residents so well, and the reputation that we have as a company and the culture. Tenure is an important distinction of our company. We have executive directors that we just gave stock awards to, who have been with the company for more than four years. 75% of those exec directors were executive directors with Capital Senior Living in 2010. A number of them have been promoted to a regional level. But those EDs, their tenure with our company is 12 years, and that's something that resonates with our residents, with our families and in our markets. And as I said, we are very optimistic about continued successful improvement in occupancy, and the rates that we saw, that pushed the improvement in the first quarter results was the effect of the rate increases we implemented in the fall. And again, in January, both on actual street rents, in-house rents and level of care fees.
Joanna Gajuk: Great. So should we still think about 2.5% pricing for the year, the way you were kind of talking about it before?
Carey Hendrickson: Yeah. I mean, there are some markets where we will go and we will do some discounting in some select markets. But overall, we are showing really 3.5%. Now on a like-client [ph] basis, we were above 3%. Our independent living rents this quarter were up 3.6% year-over-year. So we are getting a lot of improvement there. But again, it’s a balance. There are some markets that were below 85% and will -- as I said, we will have some introductory specials and do some things to move those. So that will balance out that rate growth to that kind of 2.5% to 3%. I think that it’s a reasonable target figure model.
Joanna Gajuk: Great. Thanks. I will go back to the queue. Thank you.
Operator: And next we will go to Brian Hollenden with Sidoti.
Brian Hollenden: Hi guys. Thanks for taking my question. How many conversion refurbishment projects are currently underway in terms of units. When are the units coming back online, and what -- is there any annualized CFFO impact?
Carey Hendrickson: Okay. So the conversions, we have 400 units that we completed -- actually 500 we completed. Now it is 400 in the first tranche and an additional 100, and then we have another 200 we are working on in 2016. The original 400 will contribute about $0.20 per share to CFFO once they are fully completed and leased up. The 100 that we did in the last part of 2015 will add about $0.03 per share, they are more incremental in variety, where its already an independent resident in the unit, but as that independent living resident moves out, we will add in -- we will move in an assisted living resident in her place. And then, in the 200 for 2016, those will add about $0.05 per share of CFFO, and again, they are more incremental in variety. As far as the timing of that, the 400 units -- we are kind of an annualized basis right now at $0.08 per share in the first quarter of 2016. That will grow through the year. I think probably for the year, we expect somewhere between $0.08 and $0.10 of contribution from those conversions for the full year in 2016. Product, which would be about $0.06 to $0.08 incremental from 2015. And then, the 100 probably will not impact until the very end of 2016, more in 2017, and then the 200 will be certainly more in 2017 and into the first part of 2018. So hopefully that helps. Brian, did that clear that up?
Brian Hollenden: Yes, thank you. And then one final question and I will jump back in the queue. It seems, same occupancy at 88.5% at the end of the quarter, where do you see occupancy at the end of 2016?
Carey Hendrickson: Well, we expect 100 basis points for the year. The ending occupancy at the end of last year was 88.9. So we should be right close to 90% mark, is when our goal will be to end the year in 2016, Brian.
Brian Hollenden: Okay, great. Thank you.
Carey Hendrickson: Thank you very much.
Operator: Our next question will come from Ryan Halsted with Wells Fargo
Ryan Halsted: Thanks. Good evening.
Larry Cohen: Hey Ryan.
Ryan Halsted: So I wanted to go back to the occupancy trends across the quarter. Obviously, the flu or the lack thereof was a big focus. I was hoping you could maybe breakout how the flu impacted you guys, I guess, over each month. Did you see it pick back up later in the quarter?
Larry Cohen: Actually, I [indiscernible] any flu impacting our occupancy at all during the quarter. In fact I asked today the regionals, and they were not worried any. So I mean, there may have been some flu, but it was not anything that we saw, that affected occupancy at all during the quarter. I mean, we have -- we serve the chronic senior, there is always attrition that's part of our business. The first quarter was fairly typical of what we would see. The comparison that we show improving, is where we had a very active flu the prior year, where we had the loss. So as I said, same period, we are up 115 same store units in occupancy, and that's a gain of 75 this year, versus a loss of 40 last year, was this flu related.
Ryan Halsted: Great. And then, you mentioned that obviously set you up well for the rest of the year, and I guess, where I was going with my question is, can you talk about your average monthly rent growth for the in-place residents? I guess, with the lower attrition, how should we think about your average monthly rent growing over the course of the year, without having to consider some of those incentives or using less of those moving incentives on that higher occupied community?
Larry Cohen: Well first of all, in September of 2015, we increased market rents by 3% on all communities with occupancies with 93% or greater. That's about 60% of our portfolio. We also increased market level care fees for assisted living residents by 10% on September 1 and in-house 10% October 1. Then on January 1 of 2016, upon the renewal of leases for our in-house residents, you will see a 3% increase in their rents, and market rents or street rents increased by 3% effective January 1. So we are seeing that. Whether we have another price increase later this year, will be determined about by the occupancies. There is probably a dozen properties out of our 126 that we feel that we would look to create some stimulus in occupancy by some short term discounting or specials. That's about 10% of the portfolio. But the other 90% of the portfolio should receive a 3% rate increase, both on level care fees and market rents and renewal rates this year. To the extent that we might be able to do a little better in more highly occupied buildings, that's a possibility, but it's not budgeted.
Ryan Halsted: That's helpful. On your CapEx, even adjusting for the amount hat you expect to receive from your REIT partners, it still seemed to trend a little bit higher in the quarter. Just curious how you feel about your CapEx targets for the rest of the year?
Carey Hendrickson: Yeah. So yes, it was higher in the first quarter. We have got a lot of the projects that are really in process right now in the first; and the second quarter and the third quarter will probably be somewhat similar depending on the timing of projects and kind of when they are completed. But then, it will begin to moderate in the fourth quarter, and certainly into 2017, that CapEx will moderate. So the $13.8 million in the first quarter, include the things we are doing on our lease properties as well, that we expect the reimbursement for. So that includes all communities, not just our own communities. So it's, maybe somewhere around $40 million to $45 million in 2016 all told. Then we will get some reimbursements as well, which will also show up in a separate line on our cash flow statements. You may notice, there is a new line in there called lease incentives, and that's where the reimbursements come through.
Larry Cohen: And this is a focused strategy that has a limited duration, Ryan. What's interesting, we are already talking about in 2017, second half of the year, what we can do with that excess cash, that we won't be investing in CapEx. So we think it's really helpful. Obviously, our trends are really positive. The results are demonstrating improvements in rate and occupancy, because of newly renovated and repositioned properties. But it was a strategy that we undertook over the last year, because we had the cash to do so, and we think its timely to do so for our residents. But again, that will probably burn off next year and get ratably lower throughout the first half of 2017, and that will go back to a much more standardized CapEx and hopefully even our lower CapEx needs, because some of these buildings have been renovated. They really won't need much CapEx for a number of years. The other point I will make about our CapEx on acquisitions, because we are buying properties in very good condition and new, their CapEx needs are lower. So again, this is a focused strategy of looking at ways we drive shareholder value, in addition to our acquisitions. But the repositions, conversions or renovations and they are -- there is a fixed term of when those will occur, and then we will have the benefit of the excess cash for other corporate uses or shareholder uses.
Ryan Halsted: Great. And how about the flipside of that strategy? I guess, do you have any initiatives underway of rationalizing your portfolio or reevaluating kind of the cash generation of some aspects of your portfolio and maybe considering divesting some or other ways to maximize cash flow?
Larry Cohen: Ryan, we do that every month as a management team. We do an analysis every quarter. We sold five buildings last year. We talked about it, we got $26 million of cash. I am pleased to say, there is nothing in the portfolio that we are looking to sell, because we think that they are in good markets, good performers; or will be improved with the CapEx that we are spending or repositionings that will generate sustainable strong cash flow to our company. But we analyze that every year. You know it's funny, every dollar we invest in CapEx, we ask the question, what other uses can we make of this cash, and what are the returns? And we have models for every property. And we look at the returns on those investments compared to acquisitions or other uses, and if we can't generate a return. In fact, some projects, we skinny down, because we didn't feel the returns were attractive compared to alternative uses of capital. So we are very careful in how we allocate the capital. We are very thoughtful and we are very thoughtful and we are very mathematical. And I am very pleased to say, that we have a really good portfolio, and there is no pruning necessary at this time.
Ryan Halsted: Okay, great. Maybe one last one for me; just a question on your leased portfolio, can you just remind me -- is there a portion of your leases that there may be an opportunity to buy out or to exit in the near future?
Larry Cohen: Nothing contractual. But that's not to say that the REITs aren't looking for ways to get cash and they are very vocal about disposing off assets. So there maybe opportunities, but there is nothing contractual.
Ryan Halsted: Okay. Thank you.
Operator: We will now take our next question from Marc Cohen from MTC Advisers.
Marc Todd Cohen: Yeah, good afternoon. It's actually Todd.
Larry Cohen: Hey Todd.
Marc Todd Cohen: So anyway, I am a little bit confused on a couple of comments that have already been made, so I just like to try and get some clarity on that. So Carey, the bridge that you walked us through on the fourth quarter call, I thought that kind of got us to about the number that you actually did generate here in the first quarter. Is that correct, or what actually was that number that you guided us to?
Carey Hendrickson: Yeah, I guided you to being about $0.38 to $0.39 is where we would have been, but we ended up at $0.41, so we ended up a little bit better than that.
Marc Todd Cohen: Okay good. And then Larry, I thought I heard you say that, you expect to increase occupancy by about 100 basis points. Last year, you indicated it was 88.9, and this year, 89. So did I --
Carey Hendrickson: 89, well I said, about 90%. 89.9 or about 90% Todd.
Marc Todd Cohen: Okay, great. Got it. And then, when I look at resident capacity and unit capacity, can you -- what is the difference there? Is it just the number of units that are out of the loop right now, from conversions and buildings that are shut down, are you --
Larry Cohen: The definition is different for units than resident capacity. Unit capacity is doorknobs. It’s the number of doors in a building. Some of those doors have units that actually are suites. So there we have two beds in a suite for example. Or we may have a husband and a wife, about 10% of our residents are couples. So the resident capacity will take into account those units that have more than one occupants. So the resident capacity is the number of residents that can live in the community, where as the number of units is the actual physical number of doors that we have in the community.
Marc Todd Cohen: Okay. And then, so what would you say, how much in resident capacity are we -- do not have an inventory right now?
Larry Cohen: We have about 120 units out right now. We have 70 units at Amberleigh, which is a property up in Buffalo, that's going through a major repositioning renovation, having assisted living. We have 30 units out at Georgetown, Indiana, again going through in IL to AL memory care conversion. Trouble [ph] has 10 units for memory care under construction right now. Foronda has 45 units that are out, coming back in, very well occupied. Those again, open in July, and are leasing up. So those are 120 units, in addition to that Todd, we have the full buildings of Canton regency and town center. Those collectively have about 500 units. Those are where the CCRCs will be closed with skilled nursing. Canton has opened its memory care. It looks great. Its leasing up right now, and those will come back in over the next year or so. So looking at units in total, we are talking about somewhere around 770 units out of service. Two of which are complete buildings, and the other are wings or units within about three or four buildings.
Marc Todd Cohen: So then, I am assuming there are some units here that have more than one occupant? So is the number of residents that we are kind of locked out of right now, like between 750 and 1000 or 750 and 900?
Larry Cohen: I am going to guess, it's probably over -- probably another 8.25 to 10% -- about 10%.
Marc Todd Cohen: Okay, great. And then on the -- so you are saying CapEx will be running about $13 million per quarter?
Carey Hendrickson: In the first three quarters, and then it will probably moderate a little bit in the fourth quarter. What we currently project, it's going to have the timing to project.
Marc Todd Cohen: Okay. So I guess my question is, cash less restricted, it is about $31 million. We have got to come up with $18 million in the quarter for the $74 million acquisition. So that leaves us with about $13 million at the end of the quarter, without cash flow. So it looks like we are going to end the second quarter with cash, significantly below where we are now.
Carey Hendrickson: Except that we own the real estate and we are scheduled to have supplemental financings on appreciated assets come through in the second quarter, third quarter --
Marc Todd Cohen: Okay, you didn't discuss that. So how much --
Carey Hendrickson: Well I did mention in my commentary.
Marc Todd Cohen: You did? Okay. So how much do you think you'd be able to pull out in the second quarter?
Carey Hendrickson: We have not disclosed that, but we are confident that we will have more than enough cash to spend on all the projects. I don't feel comfortable giving the numbers, because we don't have the exact numbers right now. We have term fees with our lenders, but they are being underwritten. But we are confident that we have sufficient cash. In fact, one of the analysis we do every month, is a day-by-day cash projection for the next six months. That takes into account everything we are speaking about. So we do have the ability, with the supplemental financings. I think our cash flow statements, when we follow the 10-Q, we generated $15.7 million of cash flow from operations this quarter. So that's annualized over $60 million, and that we have again, financings from supplementals that will -- should more than be sufficient cash, to take care of these needs, as well as the reimbursements from the rates on the CapEx that's being done on the buildings that they own.
Marc Todd Cohen: Right. Well it's tough to get a number when it's difficult for you to actually give us those numbers. And don't get me wrong, I mean, almost $140 million of acquisitions in the first two quarters is awesome. Just was a little bit concerned about the firepower you will have in the third quarter to do a significant number, maybe in the fourth quarter, I don't know. Anyway, that's cut it for me. Thank you.
Larry Cohen: Thanks Scott.
Operator: [Operator Instructions]. And our next question will come from Dana Hambly with Stephens Incorporated.
Jacob Johnson: Hey guys, this is Jacob on for Dana. Really quickly --
Larry Cohen: Hey Jacob.
Jacob Johnson: Hey. On the pickup in M&A, are there any common themes for these properties to come into the market on the seller side? Or do you think this is more just a function of greater appetite on your part?
Larry Cohen: We have always had a very robust pipeline. I am not sure there is anything unique about the market. The difference is, we are looking at larger properties, larger transactions. So I think that's just -- maybe our appetite has changed a little bit on our focus. When we started doing acquisitions, we bought some $5 million, $10 million properties. We no longer even look at those. So we really have sharpened our focus on higher quality, larger units, and so the gross dollar volume goes up, but the number of -- I mentioned for example, the number of properties we sign CAs for. Those CAs only totaled I think 18 in the quarter. They represented, I think 70 properties. So [indiscernible]. So it’s a function of just looking at larger opportunities, because we feel we have the ability to do so, and they are proving to really generate stronger sustainable cash flow, as well as the ability to have future supplement to financings, as those cash flows grow.
Jacob Johnson: Great. And then one last one; Larry, you mentioned usage of cash when the CapEx normalizes. I am assuming, M&A is the first priority, but just checking, did you guys repurchase any shares during the quarter?
Carey Hendrickson: We did in the first quarter, yes; but those are ones we had already announced in our fourth quarter call. But we did have 144,215 shares that we did purchase at a weighted average price of $17.29 in the first quarter.
Jacob Johnson: Great. That's it for me. Thanks guys.
Carey Hendrickson: Thanks. Have a great night.
Operator: And at this time, we do have a follow-up from Todd from MTC Advisers.
Marc Todd Cohen: Yeah guys, just one last question; so generally speaking, is the third quarter -- how does the third quarter compare to the second quarter, and how does the fourth quarter compare generally?
Larry Cohen: Generally, the business gets better throughout the year. So the trajectory usually is up from here. The difference is, we didn't have the harsh first quarter weather or flu, so we are starting at a better pace for the second quarter. But I would say, that in this industry, as the weather improves, there is more shoppers out there, there is more traffic out there. So I would expect that, and Carey gave some indications and Joana mentioned about the percentage increase in cash flow that we are guiding to for the second quarter, and we expect to see sustainable growth over that in the third and fourth quarter.
Carey Hendrickson: Todd, you always have to consider what's happening with expenses, because utilities are a major cost for us when the third quarter always -- second quarter is the mildest quarter, so the third quarter will be higher, and the fourth quarter will be a little bit higher than that, from a utilities standpoint. And then you have got, and they were down a number of days; for instance, the third quarter will have 92 days versus 91, and that always makes a little bit of a difference for us. So kind of factor some of those things in, as well as you are looking to the third and fourth quarters.
Marc Todd Cohen: Great. Thanks.
Carey Hendrickson: You're welcome.
Operator: And at this time, I show no further questions in the queue. And I'd like to turn the conference back over to our presenters for any additional or closing remarks.
Larry Cohen: Well, again, I want to thank everybody for today's participation. As always, we look forward to seeing you at various conferences over the next number of weeks, and feel free, if you have any further questions to call Carey or myself. We are always open for conversations. Have a great evening, and again, thank you very much for your interest in capital senior living. Good night.
Operator: That does conclude our conference for today. Thank you for your participation.